Operator: Hello and welcome to the TransUnion First Quarter 2024 Earnings Call. [Operator Instructions] As a reminder, this conference is being recorded.
 I would now like to hand the call to Greg Bardi, Vice President, Investor Relations. Please go ahead. 
Greg Bardi: Good morning, and thank you for attending today. Joining me on the call are Chris Cartwright, President and Chief Executive Officer; and Todd Cello, Executive Vice President and Chief Financial Officer.  
 We posted our earnings release and slides to accompany this call on the TransUnion Investor Relations website this morning, and they can be found in the current report on Form 8-K that we filed this morning. Our earnings release and the accompanying slides include various schedules, which contain more detailed information about revenue, operating expenses and other items, as well as certain non-GAAP disclosures and financial measures along with the corresponding reconciliation of these non-GAAP financial measures to their most directly comparable GAAP measures.  
 Today's call will be recorded, and a replay will be available on our website. We will also be making statements during this call that are forward-looking. These statements are based on current expectations and assumptions and are subject to risks and uncertainties. Actual results could differ materially from those described in the forward-looking statements because of factors discussed in today's earnings release and the comments made during this conference call and in our most recent Form 10-K, Forms 10-Q and other reports and filings with the SEC. We do not take any -- we do not undertake any duty to update any forward-looking statement.
  With that, let me turn it over to Chris. 
Christopher Cartwright: Thanks, Greg, and let me have my welcome and share our agenda for the call this morning. First, I'll provide the highlights of our first quarter 2024 results, including an update on our progress against our transformation initiatives. Second, I will discuss our India growth story. And finally, Todd will detail our first quarter results, along with our second quarter and full year 2024 guidance. 
 In the first quarter, TransUnion significantly exceeded guidance across revenue, adjusted EBITDA and adjusted diluted earnings per share. Given the strength in the quarter, we are raising our full year 2024 guidance, which Todd will describe later, while still maintaining a conservative guidance posture given still tepid market conditions and macroeconomic and geopolitical uncertainties.  
 Revenue in the quarter exceeded $1 billion for the first time in the company's history, growing 8% plus on an organic constant currency basis, well above our 3% to 4% guidance. Mortgage drove much of the outperformance due to better-than-expected third-party score and credit report price realization as well as slightly better prequalification volumes.  
 We expect much of the pricing benefit to persist throughout the year, increasing our expectation for mortgage growth. However, our mortgage volume assumption remains conservative as in February. And in fact, we have trimmed volume expectations for the second half of the year despite the strong start to provide further cushion against an uncertain mortgage market backdrop.  
 Our organic constant currency growth, excluding mortgage of 5%, also exceeded our expectations, led by international as well as key emerging verticals such as insurance, media, public sector and collections. U.S. markets grew 7% with financial services up 13% and emerging verticals up 4%. Consumer Interactive declined 2% as expected.  
 Consistent with the fourth quarter, muted but stable economic conditions and lending volumes supported financial services growth. Consumer finances in the U.S. remained healthy due to low unemployment and real wage growth. Inflation has moderated, but remains above target and market expectations have reverted to higher for longer interest rate forecasts.  
 Lending standards remain tight as lenders face potentially increasing capital requirements as well as rising delinquencies, albeit still within historical averages. The banks echoed these sentiments during recent earnings calls, reporting subdued loan and deposit growth as they balance consumer resiliency against continued market uncertainty.  
 Within U.S. markets, Neustar delivered another good quarter, and we remain on target to grow mid-single digits in 2024. Communications, marketing and risk all contributed, led by robust growth in Trusted Call Solutions. Our international segment grew by 15% on a constant currency basis, the 12th consecutive quarter of double-digit growth. India led with 31% growth, while Canada, Asia Pacific and Africa, again grew double digits.  
 Finally, we achieved key milestones in our transformation program, reinforcing our confidence in delivering against our financial commitments. Let me address this in more detail. As we discussed last quarter, our transformation efforts comprised 2 complementary programs, optimizing our operating model by further leveraging our global capability centers or GCCs, and modernizing our technology capabilities.  
 We believe these initiatives will accelerate innovation, streamline workflows, reduce costs and ultimately position us to deliver better experiences to meet the evolving needs of customers and consumers. In our operating model optimization program, we substantially completed our local market workforce reductions and migration notices in the first quarter.  
 Concurrently, we're on track with our planned GCC hiring. We now have roughly 4,900 employees in our GCC network, and our talent acquisition in India, South Africa and Costa Rica is stronger than ever. As more work shifts to the GCCs, we're taking a rigorous approach to change management, systematically tracking and documenting knowledge transfer, training our leaders to manage increasingly global teams and developing a feedback loop to improve processes continuously.  
 We're also deliberately balancing the need for customer-centric work in markets with the opportunity to centralize, standardize and automate key global functions. In our technology program, we're modernizing our capabilities by completing our cloud transformation and leveraging Neustar's technology to consolidate the assets we've built and acquired in recent years on to OneTru, a common state-of-the-art solutions-enablement platform.  
 OneTru is becoming the platform for ingesting, managing, governing, analyzing and delivering data and insights. The OneTru platform integrates separate data and the analytic assets in credit risk, marketing and fraud prevention and concentrates them in a single, layered and unified environment.  
 We believe that OneTru will enrich our data quality, speed time to market and accelerate innovation, ultimately driving better growth across our credit fraud and marketing solutions. From a financial perspective, we expect OneTru will also save costs and enable us to rationalize applications and standardize global services.  
 These efficiencies will allow our engineers to focus more time on innovation. Finally, the standardized operating model will enable us to adapt more quickly to rapidly changing regulations and ensure compliant data usage. Our focus in 2024 and 2025 is in consolidating our U.S. and India products, data and analytics onto the platform in accordance with respective laws and regulations.  
 We made meaningful progress in the first quarter. We launched advanced acquisition in the U.S., which combines data enrichment with our credit and marketing capabilities for an integrated credit-based consumer prospect marketing solution. We also moved key capabilities of our short-term lending Credit Bureau, FactorTrust onto OneTru with full online solutions to follow, representing the first credit bureau applications on our new platform.  
 Finally, we began the process to move our U.S. and global internal analytics environments as well as our core U.S. credit onto OneTru over the next several quarters. These actions reinforce our confidence in delivering an expected $65 million of operating expense savings in 2024. And we continue to target $200 million of free cash flow benefit by 2026.  
 Now over the last 2 decades, TransUnion has built a leadership position in India, one of the most attractive global markets. We've grown our Indian business more than 30% every year since 2017, except for the pandemic year in 2020. And this market contributed roughly 1.5 points to total company growth in 2023.  
 We have a tremendous long-term opportunity to enable growth in the Indian market. India is the fifth largest economy in the world and the fastest growing with GDP expected to double by 2030. 2/3 of India's population is under the age of 35. And this segment alone comprises 890 million people, more than 3x the size of the U.S. adult population. These demographics drive economic growth and need a sophisticated consumer credit system to support an expanding aspirational middle class.  
 The Indian government remains highly focused on modernizing its economy, promoting financial inclusion and digital transformation initiatives. India's evolving economy creates high demand for credit, marketing and fraud solutions and we have built a unique market-leading business. The Credit Bureau TransUnion CIBIL was founded in 2000 and has become a household brand that is synonymous with credit reports. We have 640 million consumer records in our bureau, growing roughly 15% each year. We serve more than 6,000 institutions, including the largest banks, nonbanking financial institutions, fintechs and insurance companies. We also reach 100 million consumers directly through our consumer solutions.  
 As the leading credit bureau, we play an impactful role in the Indian credit economy. We closely engage with the regulatory and government institutions, such as the Reserve Bank of India and the Ministry of Finance to support initiatives focused on managing financial stability and systemic risk as well as driving financial inclusion. We also improve financial literacy through our education and awareness programs and our direct connections with more than 100 million consumers. And as I will describe in more detail later we enable credit penetration in critical underserved areas such as small and midsized businesses, agriculture and micro finance.  
 Our strategy in India exemplifies our enterprise vision to make trust possible between consumers and businesses in global commerce. India's market dynamics by themselves drive attractive growth with GDP growing nearly 8% and credit growing roughly 16% in 2023.  
 We expect strong volumes again in 2024, albeit with likely lower growth rates as the lending ecosystem takes a modestly more conservative stance. We have consistently outperformed the underlying market. However, driven by the same growth playbook that we use across our business.  First is client engagement or deepening client relationships to drive wallet share and share shift. We empower our verticalized sales force to focus on thematic selling, emphasizing our role as a trusted adviser to our clients. This enables us to build upon our already strong share in core consumer credit by expanding our suite of solutions and penetrating new lenders.  
 Second is product innovation. We continue to successfully bring innovation from other markets to India, such as trended credit data, and consumer education tools. Increasingly, we're driving end market innovation like our API marketplace and in areas such as financial inclusion, fraud and identity in open banking.  
 We're also exploring opportunities to bring Neustar capabilities such as Trusted Call Solutions and marketing products to the Indian market. Third is market adjacencies or India's version of emerging markets. Key focus areas are commercial, fintech and direct-to-consumer.  
 Commercial credit is unique to India. As we do not operate a commercial bureau in the U.S. We help Indian lenders assess the creditworthiness of businesses based on credit as well as bank statement, tax and trade data. From 2018 to 2023, we grew in India at a 27% compound annual growth rate. And the chart on Slide 9 highlights how the growth playbook enabled this market-leading performance.  
 Consumer credit grew at a 23% CAGR. Commercial fintech and direct-to-consumer grew to faster combined 36% CAGR and now represent roughly 40% of revenue. We believe, over time, our solutions outside of consumer credit can contribute 50% plus of our Indian revenue. We're only scratching the surface of the opportunities outside of consumer credit with the right to win given our scale and brand recognition, our breadth and the quality relationships that we have in the market as well as product innovation.  
 Much of our next generation of innovation focuses on enabling credit penetration in underserved sectors, all of which the Government of India has identified as key economic growth priorities. Our FIT Rank assessment uses credit and alternative data for sharper risk differentiation of small and midsized businesses. The solution enables lenders to better serve India's 63 million small and medium businesses, which contribute to 30% of India's GDP.  
 The CIBIL credit and farm report consolidates credit, satellite and other relevant agricultural data to begin to digitize historically manual and cumbersome agricultural lending process. Farming is the livelihood of 55% of the Indian population and agricultural loans account for at least 18% of the bank's lending portfolios. And the CIBIL microfinance report and score provides comprehensive data and analytics to serve the 70 million microfinance borrowers in India.
 Microfinance refers to collateral-free loans for lower income families. The loans average roughly $500 and typically focus on rural and remote areas. The Reserve Bank of India has specific mandates for lending to this segment of the population.  Close out, India is a multi-decade growth story for TransUnion. At our Investor Day, we targeted $300 million of revenue from India by 2025, and we are well on our pace to exceed that target. We continue to believe this business can deliver conservatively 20% plus growth over the medium term.  
 And our next goal is to build India into $0.5 billion over the next several years. Now Todd will provide further details on the first quarter financial results and our second quarter and full year 2024 outlook. Todd? 
Todd Cello: Thanks, Chris, and let me add my welcome to everyone. Before I begin, I wanted to highlight our updated segment reporting. Starting this quarter, we are reporting our Consumer Interactive business within our U.S. market segment. Additionally, we have shifted certain revenue between U.S. financial services, U.S. emerging verticals and our International segment. These actions better align our reporting to how we run the business under our U.S. markets and international [ presidents ] . 
 We have provided recast 2022 and 2023 quarterly results for the updated reporting in an 8-K filed on Tuesday and have posted the details to our Investor Relations website. Additionally, in the appendix of today's presentation, we have provided incremental vertical revenue mix disclosure for our U.S. financial services, U.S. emerging verticals and Consumer Interactive businesses for fiscal year 2023.  
 As Chris mentioned, in the first quarter, we exceeded our guidance on all key financial metrics. First quarter consolidated revenue increased 9% on a reported basis, and 8% on an organic constant currency basis. There was no impact from acquisitions and a less than 1% benefit from foreign currency.  
 Our business grew 5% on an organic constant currency basis, excluding mortgage from both the first quarter of 2023 and 2024. Adjusted EBITDA increased 11% on a reported and constant currency basis. Our adjusted EBITDA margin was 35.1%, ahead of our expectations and up 80 basis points compared to the year ago quarter due to flow-through on revenue growth.  
 First quarter adjusted diluted earnings per share was $0.92, an increase of 14%. The adjusted tax rate for the quarter was 22.5%. Finally, in the first quarter, we took $43 million of onetime charges related to the next phase of our transformation program, $24 million for operating model optimization and $19 million for technology transformation.  
 We continue to expect to incur roughly $200 million of onetime expenses in 2024, driving $65 million of in-year operating expense savings. As part of our $355 million to $375 million program, we expect the remaining $75 million to $95 million of onetime expenses to be incurred in 2025.  
 Looking at segment financial performance for the first quarter. U.S. markets revenue, which now includes Consumer Interactive, was up 7% compared to the year ago quarter. Adjusted EBITDA for U.S. markets was up 6% and adjusted EBITDA margin was down 20 basis points to 36.2%.  
 Financial Services revenue grew 13% with trends broadly consistent with the levels seen in the fourth quarter. Excluding mortgage, Financial Services, revenue was up 1%. Consumer lending revenue returned to growth, up 2% in the quarter. Activity remained muted as fintechs and others remain cautious given rates and market uncertainty.  
 New customer and wallet share wins across fintech, buy now pay later, and short-term lenders offset some of the softness and contributed to growth. Our credit card and banking business was flat. While issuance is healthy on a historical basis, online and batch activity remains tempered as lenders manage rising delinquencies.  
 We are enabling our customers to navigate the current environment and position themselves for future growth with highly relevant products such as our TruVision Risk Solutions, TruIQ's analytical suite, Trusted Call Solutions and our TruValidate fraud offerings. Our auto business grew 2% despite continued headwinds in the auto market, driven by new business wins and growth from captive auto lenders.  
 Consumers, particularly near prime and subprime continue to face affordability challenges from higher interest rates and declining, but still high used car prices. Improved new vehicle inventory has provided some increased credit volume as well as interest from OEMs and dealers and noncredit solutions as they seek to acquire more customers.  
 We are seeing strong momentum selling Neustar marketing and Trusted Call Solutions into the auto space. For mortgage, revenue grew 52% against inquiry volume declines of 8%. Outperformance related to higher-than-expected price realization on third-party scores and credit products. Volumes were also slightly higher than our expectations, especially in prequalification.  
 Relative to prequalification volume, shopping activity has been healthy, and to date, we have not seen much incremental pressure from the extension of the GSE prequalification program. We are pleased with the strong mortgage growth in the quarter, but given uncertainty around interest rates, origination volumes an uptake of these newer prequalification programs, we continue to take a conservative view on our mortgage guidance for the year.  
 On a trailing 12-month basis, mortgage represented about 8% of total TransUnion revenue. Let me now turn to our emerging verticals, which grew 4% in the quarter. Insurance, media, public sector and collections led the way for growth.  Telecommunications in tech, retail and e-commerce grew modestly, while tenant and employment screening declined as expected.  
 Our appendix slide provides helpful detail on the relative sizing of each of these verticals. In Insurance, we delivered improved growth with market trends progressing as expected to start the year. Select underwriters are starting to resume marketing activity as rate adequacy improves, with broader recovery expected as the year progresses. Healthier backdrop supports credit-based marketing volume as well as increased demand for our suite of marketing products, such as identity-based data hygiene and targeted audience solutions.  
 Consumer shopping activity remains strong. We continue to deliver significant new business wins across our core products as well as with innovative products like TruVision driving history, successful cross-selling of Neustar and Sontiq solutions and penetration of the life and commercial insurance market.  
 Media, public sector and collections all grew double digits. Media benefited from marketing identity and audience wins and a stabilizing market backdrop. Public sector and collections were again powered by strong growth in Trusted Call Solutions, along with fraud volumes in the public sector.  
 Telco was up slightly in line with the recent trajectory and our growth expectation for the vertical, which includes many of our legacy communication solutions like landline caller ID. Tech, retail and e-commerce was also up modestly as it comped against project-based revenue in the prior year. Tenant and employment screening declined as expected as we work through the recalibration of our solutions. We expect better performance in the second half of the year as we lap the impact of these actions.  
 Turning to Consumer Interactive. Revenue decreased 2%. Our indirect channel grew benefiting from continued breach wins. Reach revenues can be uneven, but we are accelerating our pace of wins largely on the strength of Sontiq offerings. Our direct business declined as expected as we work through the impact of our recalibrated marketing strategy.  
 We are making good progress on broadening our value proposition and go-to-market strategy in this business. For my comments about International, all revenue growth comparisons will be in constant currency. For the total segment, revenue grew 15%, with 4 of our 6 reported markets growing by double digits. Adjusted EBITDA margin was 45.2%, up 230 basis points.  
 Now let's dig into the specifics for each region. In India, we grew 31%. We delivered growth across consumer credit, commercial credit, fraud, marketing and direct-to-consumer supported by strong market trends. In the U.K., revenue was flat. The U.K. fintech market remains subdued but has stabilized, and we continue to see solid growth in banking and insurance, setting us up for some improvement as the year progresses.  
 TruVision trended data, affordability-oriented solutions and our consumer offerings continue to drive new wins. Canadian business delivered another quarter of very strong performance, growing 18% despite a muted macro environment. We benefited from share gains in financial services, strong growth in telco and insurance, momentum in Consumer Indirect and recent breach wins.  
 Growth in Canada was also a bit better than anticipated due to healthier online volumes. Looking ahead, as we lap sizable new business wins, we expect growth in subsequent quarters to return to high single digits, which still represents market-leading performance in Canada.  
 In Latin America, revenue was up 7%. In Colombia and other Latin America countries, we delivered broad-based growth with stabilizing market conditions after a softer second half 2023. Brazil was flat after a few quarters of declines, and we expect further improvement as the year progresses. In Asia Pacific, we grew 17%, driven by very strong growth in the Philippines and another solid quarter in Hong Kong.  
 Finally, Africa increased 12% led by our retail and insurance verticals.  
 Turning to the balance sheet. We ended the quarter with roughly $5.3 billion of debt and $434 million of cash. We finished the quarter with a leverage ratio of 3.5x. You can find our debt profile in the appendix of our presentation. We did not make debt prepayments in the first quarter, but expect to make some prepayments over the course of 2024 with our excess free cash flow.  
 Our focus this year remains on executing against the transformation initiatives. We expect most of our $355 million to $375 million of onetime transformation expense to be paid out in 2024. Based on our expectation for adjusted EBITDA and cash generation, we expect our leverage ratio to be in the low 3x range by the end of 2024.  
 We continue to work toward our leverage ratio target of under 3x. We do not view 3x as an ending point for deleveraging and viewed debt prepayment as an attractive incremental use of our cash over the medium term. Turning to guidance. Even after a strong start to the year, our approach remains unchanged. We continue to assume muted economic growth throughout 2024 with steady lending volumes and no benefit from interest rate cuts.  
 That brings us to our outlook for the second quarter of 2024. We expect foreign exchange to have an insignificant impact on revenue and adjusted EBITDA. We expect revenue to be between $1.017 billion and $1.026 billion or up 5% to 6% on an as reported and organic constant currency basis.  
 Our revenue guidance includes approximately 3 points of tailwind from mortgage.  Meaning that we expect the remainder of our business to grow 2% to 3% on an organic constant currency basis. We expect mortgage revenue growth in the second quarter to be slightly lower than the 52% we experienced in the first quarter.  
 We expect adjusted EBITDA to be between $366 million and $372 million, up 8% to 10%. We expect adjusted EBITDA margin of 36.0% to 36.3% or up 90 to 120 basis points. We also expect our adjusted diluted earnings per share to be between $0.95 and $0.98, up 11% to 14%.  
 Turning to the full year. We expect insignificant impact from foreign exchange on revenue and adjusted EBITDA. We expect revenue to come in between $4.023 billion and $4.083 billion or up 5% to 6.5% on an as reported and organic constant currency basis.  
 Our increased guidance is driven entirely by mortgage, specifically from better-than-anticipated price realization on third-party scores and credit reports. 2024, our mortgage inquiry assumption is unchanged at down 5%. However, we now expect our mortgage revenue to increase about 50%, up from 25% prior. We now expect inquiries to be slightly better in the first half of the year, but still down 10% and for the second half volumes to be flat.  
 We expect our organic constant currency growth, excluding mortgage, to be up about 2% to 3.5%. We are pleased with our nonmortgage outperformance in the first quarter, but continue to take a deliberately conservative approach to the rest of the year, given continued market uncertainty.  
 For our business segments, we expect U.S. markets to grow mid-single digit or up low single digit, excluding mortgage. We now anticipate Financial Services to be up low double digit or low single-digit growth, excluding mortgage. We continue to expect emerging verticals to be up low single digit, and we expect Consumer Interactive to decline low single digit. We now anticipate that International will grow low double digit in constant currency terms driven by broad-based positive trends and led by India.  
 Turning back to the total company outlook. We expect adjusted EBITDA to be between $1.433 billion and $1.475 billion, up 7% to 10%. And would result in adjusted EBITDA margin being 35.6% to 36.1% or up 50 to 100 basis points. Anticipate adjusted diluted earnings per share to be $3.69 to $3.86, up 10% to 15%.  
 We expect our adjusted tax rate to be approximately 22.5%. Depreciation and amortization is expected to be approximately $530 million, and we expect the portion excluding step-up amortization from our 2012 change in control and subsequent acquisitions to be about $245 million. Anticipate net interest expense would be about $250 million for the full year, up $5 million from prior guidance due to higher SOFR. We expect capital expenditures to be about 9% of revenue.  
 And as previously noted, we continue to expect to incur $200 million in onetime charges in 2024 related to our transformation program. I'll now turn the time back to Chris for some final comments. 
Christopher Cartwright: Thank you, Todd. And to wrap up the call this morning, we exceeded first quarter expectations driven by mortgage outperformance, international momentum, good growth from key emerging verticals like insurance and media and stable lending volumes in the U.S. financial services.  
 We achieved key milestones against our transformation program, reinforcing our confidence in delivering against our financial commitment. And we're raising our 2024 guidance behind the strong first quarter results and better mortgage price realization. We remain focused and confident in delivering strong results in the current low growth market environment. Let me turn it back to Greg. 
Greg Bardi: That concludes our prepared remarks. [Operator Instructions] Operator, we can begin the Q&A. 
Operator: [Operator Instructions] Today's first question comes from Andrew Steinerman with JPMorgan. 
Andrew Steinerman: Chris, I was encouraged to hear that Neustar remains on track and that communications, marketing and risk all contributed. I was hoping you could just give us some more details on kind of the current trend in Neustar and aspirations there? 
Christopher Cartwright: Yes, sure, Andrew. Yes, Neustar posted a solid first quarter, very consistent with our full year guide, and we had positive growth across each of the 3 principal product lines. Directionally, communication still is posting the highest growth rates, and that's driven by our suite of Trusted Call Solutions and new sales of that continue to be very strong. So that's encouraging. 
 We also feel good about the rate of growth in marketing. This year -- this quarter was particularly strong in marketing, and we called out the media vertical that reflects some of the big sales that we had in the media vertical last year. We had a couple of clients in particular that consolidated their business on our audience platforms, which is encouraging. 
 And in the first quarter, we will start to lap those sales from last year in the second quarter, right? But it was a standout in the first quarter. And then we've had some acceleration this year in the risk/fraud portion of Neustar, particularly around our collections and communication solutions. 
 So from a revenue perspective, it was quite solid, and we feel solid in the guide for the year. I think it's also important to note in terms of Neustar progress. We're still really confident on achieving the integration savings. We raised up to $80 million. We feel very good about that. And of course, we're striving to outperform that number and will keep you updated as the year progresses. 
 Beyond that, there's a ton of technology benefit that we are taking advantage of currently. We've talked about OneTru as our central data management platform and OneTru began, of course, within Neustar as their next-generation platform, and we've extended it to meet the broader TransUnion enterprise needs. But in addition to OneTru, over these past couple of years, we've done a ton of work to integrate our marketing and fraud solutions. 
 And when you do this type of hardcore engineering integration, you move sideways from a product and innovation perspective for a period. But once you pulled everything together, you get a broader and more integrated solution, truly the best of both organizations. And we expect that work in marketing and fraud to be behind us as we enter in the second half and the third quarter of this year. 
 So in my view, while we're posting good results in Neustar in a difficult environment, the best in terms of our product offering has yet to come, and you're going to see that emerge later this year. 
Operator: The next question is from Faiza Alwy with Deutsche Bank. 
Faiza Alwy: I wanted to ask about mortgage since that was driving the guidance raise. I guess what was better than what you had anticipated in mortgage? I know you mentioned the [ prequal ] volumes and shopping behavior. But I guess what drove the pricing and what gives you confidence that sort of this level of outperformance will continue through the course of the year? 
Christopher Cartwright: Yes. And thanks for the question, Faiza. It's a very essential question to understanding both the quarter and the full year guide. As we were budgeting and forecasting '24, it was complicated because there are a lot of moving parts in the forecast, given interest rates and market volume uncertainties, but also the new early assessment program by the GSEs, which were -- which was likely going to have an impact on mortgage prequalifications. 
 Consistent with our overall conservative guidance posture, we were conservative on all of these dimensions of mortgage guide. Now what we saw in the first quarter is that volumes were a little better than expectations, but not hugely better and just absolute mortgage volume is a difficult thing to predict, as we all know. 
 But the assumptions we made about the proportion of prequalifications that we would get and the third-party score price we would realize on those prequalifications as well as the price realization of the credit portion, those -- all those assumptions turned out to be conservative, right? 
 So in addition to that, we think, and this is really our hypothesis is that now that mortgage lenders don't have to pull 3 credit reports and incur that cost of 3 reports and 3 scores at qualification, it's enabling some additional consumer shopping. So there may be some benefit coming from that as well because our qualification volumes were again beyond the conservative forecast that we put in place. 
 So the combination of all of those things led to material outperformance in mortgage. We booked what we achieved in the first quarter and then we maintained or actually made a bit more conservative volume expectations for the remainder of the year, simply because it's a fluid market. There's a lot of uncertainty, and there have been a lot of changes. Now Todd, I think you can probably get into some more of the specifics here. I think that would be helpful. 
Todd Cello: Absolutely. So Faiza, thanks for the question. And one point that I want to start with, just to make certain that's clear to everyone is that TransUnion includes the prequalification volumes that Chris was just speaking about in our overall volumes. 
 So when you see our volume number, that's including the [ prequal ].  So what that means when Chris was talking about shopping activity being better, you have to keep that in mind that that's, in essence, one of the drivers that we saw to keep the expectations on volumes a little bit better from what we had guided. 
 So from there, if you look at our guidance back in February compared to what we put out this morning, starting with revenue, you'll notice that we've increased the revenue by 25%. So now we're expecting mortgage to grow 50% instead of 25%. But back to the volumes we are expecting volumes for the full year to remain the same at down 5%. 
 Now in the first half, we are expecting the volumes to be a little bit better. Back in February, we had assumed a 15% decline. And now we are assuming a 10% decline. So in essence, you get a 5% pickup in the first half. Prequalification is a part of that. So keep that in mind. But then in the second half, if you go back to February, we were anticipating that we would grow 10% in our volumes. And that was just purely comparable. 
 If you remember, the second half of 2023 was particularly weak. So what we've done is we've changed our second half assumption in essence, to be flat. So what that means is second half now has a decline of 10%. So what -- the reason that's important to call out is we are fully acknowledging the headwinds that we are experiencing in the market from a volume perspective with the 10-year treasury yield creeping up and 30-year mortgage rates higher. We are acknowledging that in our forecast. 
 So the takeaway here is that this is just better price realization on third-party scores as well as reports. 
Operator: The next question comes from Jeff Meuler with Baird. 
Jeffrey Meuler: So Q2 guidance looks good. You just addressed mortgage, but maybe if you can more holistically kind of just address this concern that when rates moved higher kind of last summer, early fall, it created some incremental headwinds in various parts of your business. So just with rates moving higher recently, including again today, can you just talk about some other parts of the business where you saw headwinds last fall and maybe any sort of like changes in customer behavior or tone that you're hearing more recently on the back of a rate increase? 
Todd Cello: Thank you for the question. So to start off in response to that, I think what's important for everyone to remember that our initial guide back in February did not anticipate a benefit from lower interest rates. So we went into the year in essence, just very conservative. 
 We didn't want to get ahead of ourselves and that proves to be a very good thing, right, as far as where interest rates appear to be headed. Trends in our core U.S. financial services business, I would say that they remain stable. You've heard from some of the bank earnings call, they used the words subdued. I think that we have appropriately captured these trends in our outlook. There's no significant upside contemplated there. It's more of a continuation of the trends that we're seeing. 
 Some important reminders. TransUnion obviously, has a very diversified portfolio. And as a reminder, in 2022 and 2023, we grew 3% in both years. Now clearly, that's not what we planned for and that's not at all what we aspired for, but it shows the balance of the business, and that's intentional. So -- and with that also, we currently believe that interest rates perhaps may have peaked or maybe they won't go up much further. 
 So what does that mean? Well, what it does is it drives certainty that didn't exist for our customers in the previous 2 years when interest rates were increasing in 2022 and 2023, our customers didn't know how much higher that they were going to go. So there's definitely some certainty there. 
 Also, it's important to call out that our International business just continues to have strong momentum. In the February -- in our February guidance, we called for high single-digit growth from that business. We've increased that, even though we're maintaining in total. At the company level, we've increased to low double digits for International just based on this strong momentum that we're seeing in International. 
 You flip back to the U.S. markets, the emerging verticals, it's important to call out there that many of those businesses are less dependent on interest rate movements. And this gets back to what I said at the beginning about the power of the diversified portfolio that we have. 
 And I would say, we're seeing improving trends there. Nothing dramatic, but things are starting to get better. And then the last point I would make on this one is cutting across all of these businesses, TransUnion has a robust portfolio of solutions to help our customers no matter what the macro environment presents them. 
Christopher Cartwright: Yes. And look, if I can reinforce a couple of points. The volumes that we experienced in the first quarter, particularly in U.S. Financial Services are consistent with the fourth quarter of last year. The challenge is, as you know, Jeff, in September of the third quarter of last year, the combination of increased rates and a real stress on bank deposits led to a material step down in origination volumes, right? 
 Well, that appears to be flattening. And therefore, our growth is going to improve because we're not absorbing any material declines as we did in the second half of '23. 
Operator: The next question is from Manav Patnaik with Barclays. 
Manav Patnaik: Thank you for the disclosure on the emerging market or the emerging verticals, I guess, in your appendix. I was just wondering if -- just to follow up on that. In some of those 4 big categories in there. If you could just help us with how much they grew in '23 and how we should think about what you have factored in for '24? 
Christopher Cartwright: Yes. Look, let me provide some quick color and I don't -- Todd may recall the specific growth rates per emerging segment in '23, but I'm more '24 focused. And look, overall, we're expecting higher growth from the emerging verticals in '24 than we experienced in '23. Starting with insurance, I think I said on an earlier call that we expected insurance to grow faster in '24, but not to return to the high single-digit growth that we've enjoyed consistently. 
 So it's a healing process in terms of insurers returning to former marketing levels. We've seen some improvement in marketing. Of course, we've also had some really nice wins, particularly in the driver risk. So insurance is solid. As we mentioned, we had a solid growth in media, and that's because of the realization of some customer wins that we achieved last year. 
 Public sector, our fraud products are helping us grow there. And finally, Manav, we're getting some nice growth in the collections area, right, as delinquencies rise, part of the compensation for our business model is increased collections. And of course, Trusted Call Solutions is a growth driver across all of these segments. In technology and real estate, in e-commerce, we're lapping some major project revenue. We're getting growth there, but it's more like the low mid-single-digit type of growth. And communications is always a blend. It's a combination of some heritage products that are either flat to declining slightly, but enhanced considerably by the Trusted Call Solutions suite. 
 And then we are still working our way through some difficult comps on tenant and employment screening. As you know, because of the consent order that we signed with the CFPB last year, we've had to take certain products, certain data that did not meet the enhanced requirements that the CFPB has imposed on the industry. We're going to take those out of the market. We'll lap that comp by the second half of the year. But for right now, it's negative and a drag on emerging. So hopefully, that helps Manav. 
Operator: The next question comes from Kelsey Zhu with Autonomous. 
Kelsey Zhu: I was wondering if we can also talk a little bit about the growth we should expect for Sontiq and Argus in 2024 and how the margin profiles look like right now and kind of where you're targeting for 2024? 
Christopher Cartwright: Yes. So let's see, Sontiq, and then Argus. Well, the quick news on Argus, I think, is Argus has been completely integrated into the credit card and banking vertical within U.S. markets. And we've spent a lot of time on their next-generation platform, but also a lot of data hygiene and enhancement. 
 So we've built a nice pipeline. We're getting some new sales and some conversions, and I continue to be very pleased that we've added this deeper, more authoritative view on how consumers are actually using their card to our overall foundation of credit information. 
 Sontiq is growing very well. The key driver in Sontiq has been breach. As you know, in the fourth quarter, we reported really strong growth in consumer. It was almost entirely fueled by some breach revenues. So now that we've kind of matured our ability to sell this, I expect that we're going to continue to get good growth. 
 But again, that is a more lumpy episodic type of product line, right? And so as we forecasted Sontiq for the year, we forecasted very solid growth from Sontiq, but not an extrapolation from what we experienced in the fourth quarter and a bit in the first quarter of this year. 
Operator: The next question is from Toni Kaplan with Morgan Stanley. 
Toni Kaplan: I was hoping to ask about technology. You talked about the tech transformation, but just any update on AI and cloud, where you are today, any metrics we should be sort of looking at with regard to that and expense efficiencies and anything related? 
Christopher Cartwright: Yes. So let me survey the landscape on technology because multiple efforts that really check the boxes that you've talked about have converged into our next-generation foundational data management platform, which is OneTru. And think of that as all of the different data assets that we have, whether they be credit or marketing or fraud mitigation or public records are converging on a common set of functionality within OneTru. 
 Now part of that is data ingestion, identity resolution, basic analytics and certainly feeding all of that into the different product suites that we have, be it credit marketing, public records, fraud, et cetera, right? And I think we've provided some schematics, so you can better understand that. 
 But underpinning OneTru, we're using machine learning, variants of artificial intelligence to speed the ingestion of data, the quality assurance, the governance, certainly, the identity resolution or even launching a machine learning as a service in our enhanced analytics suite. So OneTru, now think of it as a comprehensive umbrella effort that's going to give us the type of one-to-many leverage from our technology that we've been steering toward. And of course, it's an entirely cloud architected, cloud native platform, all the data is stored within a fabric in the cloud or a common central repository, if you will. And it's also designed to be cloud agnostic because not all of our applications will go to the cloud. 
 The majority of them will because the economics and the performance requirements make sense, but there are certain loads that we can handle more cost effectively in our internal private clouds, right? So as we've explained, there's a division there, and we've talked about that previously. So hopefully, that gives you some more flavor. 
Operator: The next question comes from Heather Balsky with Bank of America. 
Heather Balsky: I wanted to ask you about insurance, and I know it's come up already on the call with regards to marketing. But I'm curious about kind of the other aspects of the business in terms of what you've been seeing in terms of insurers leaving state, what's going on with shopping. It seems like the data that you guys put out, it was pretty good for the quarter. Just a broader environment for insurance and how you think about that for the rest of the year? 
Christopher Cartwright: Yes, Heather, it's probably worth refreshing kind of the basic dynamics that we're seeing in the insurance space. And look, as we all know, the past couple of years have been very tough for insurers. There's been an increase in frequency and severity of events and the replacement costs have skyrocketed, and it's led to P&C carriers pulling back from higher-risk regions, whether that's from wildfires or flooding or just a variety of natural disasters.  And that's meant reduced underwriting volumes. And what is underwritten is that at materially higher prices often that has to be absorbed by consumers. 
 And also a reduction of marketing until the insurers could get a number of rate increases through different states in order to turn profitable on kind of individual policy economics. There's been a lot of progress in getting insurance priced right for this more challenging environment. And so we are seeing an increase in marketing. But still, the space is not fully healed, if you will. 
 And I think that's going to take more time, probably another year, but we do expect '24 to be stronger on balance in insurance than '23 was. You also mentioned shopping activity, and you're right, and this is probably something that we all have some personal experience with. Upon renewal, consumers get sticker shock. 
 And again, the price increases have been material for all the reasons that I talked about. And that does lead to some more shopping and shopping helps our business model. The other thing that's helping is a bit of an improved marketing environment and continued growth of our driver risk solutions as insurers are looking for ways to combat the increasing prices of state motor vehicle reports. 
Operator: Today's last question comes from Ashish Sabadra with Deutsche Bank. 
Ashish Sabadra: Thanks for providing those details around the India market, that's very encouraging. I just wanted to drill down on the international in general, very strong momentum in the first quarter. The guidance also implies strong growth, but that is moderate. I was just wondering if you can talk about puts and takes and any kind of conservatism that's baked into the guidance. 
Christopher Cartwright: Yes. Well, I would say our international forecast in total does reflect a similar prudent approach that we've tried to take across the enterprise. Obviously, we're really pleased with the first quarter, but we were careful not to extrapolate from those results across the full year. 
 Canada, in addition to India is a real call out for many, many years now, that team has executed well, has won a lot of customers, has further penetrated the entirety of the customer base with a range of solutions and has been posting outside growth. We're doing great in South Africa and across Africa broadly. And again, India is a huge standout and a privilege for TransUnion to be able to participate in. 
 Asia Pacific has also had a great rebound. We're seeing exciting things in the Philippines. We're very bullish about the potential for developing our franchise there. And LatAm is doing well, and we hope and expect to produce better results in Brazil. 
 And look, in the U.K., the U.K. has been a tough slog. That economy has been through a lot. Inflation and interest rates have been very high. And we were probably overweighted there more toward short-term money lenders and fintech, which have had a particularly hard time in these past couple of years. 
 Now that that's kind of flattening out, the robust growth we've been enjoying in kind of core mainstream banking is going to start to shine through as well as some of the diversifications into the gaming and gambling market in the U.K., which is quite well developed. Hopefully, I didn't leave anybody out as I went around the horn here, apologies. No offence intended, if I have. 
 Look, international is rolling well and we expect to continue to post really good results this year. 
Greg Bardi: Great. That brings us to the end of today's call. Thank you for your time today, and have a great rest of the day. Thanks. 
Operator: The conference has now concluded. Thank you for your participation. You may now disconnect your lines.